Operator: Welcome to the Global Conference Call of Daimler. At our customer’s request, this conference will be recorded. The replay of the conference call will also be available at an ondemand audio webcast in the Investor Relations section of the Daimler website. A short introduction will be directly followed by a Q&A session. [Operator Instructions]. I would like to remind you that this teleconference is governed by the Safe Harbor wording that you find in our published results documents. Please note that our presentations contain forward-looking statements that reflect management’s current views with respect to future events. Such statements are subject to many risks and uncertainties. If the assumptions underlying any of these statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date on which they are made. May I now hand over to Björn Scheib, Head of Daimler Investor Relations. Thank you very much.
Björn Scheib: Good afternoon, ladies and gentlemen. This is Björn Scheib speaking. On behalf of Daimler, I would like to welcome you all on the Internet and on the telephone to our Q1 results conference call. We are very happy to have with us today our CFO of Daimler, Bodo Uebber. In order to give you maximum time for your questions, Bodo will begin with a short introduction, directly followed by a Q&A. Before I hand over to Bodo, I would like to address the following comment on the diesel topic very briefly. There are no new information regarding the ongoing investigation by the Stuttgart public prosecutor’s office in connection with diesel or our internal investigation upon requests of the U.S. Department of Justice. At the same time, we published an update on the legal proceedings with our annual report 2017 and in our Q1 interim report 2018. All our financial statements are reflecting our current financial assessment of these legal proceedings. At the same time, I would love to emphasize that we continue to fully cooperate with the authorities. At the same time, our experience has clearly shown that our conservative communication supports the constructive dialogue with all the international and national authorities. Therefore, please understand that today we do not comment on any pending proceedings and with this on any further details. With this, thank you very much. And I now would love to pass over to Bodo.
Operator: Ladies and gentlemen, the conference will be resumed in a few minutes. Ladies and gentlemen, the conference will now be resumed.
Bodo Uebber: Thank you, Björn, and good afternoon. We published our numbers this morning, and as you can see, Daimler had a strong start to the year. In the first quarter of 2018, Daimler sold more than 800,000 passenger cars and commercial vehicles grows of by 7%. These are quite impressive numbers. One of the main reasons for the success are our attractive products. Besides already very popular SUV models and the successful S-Class upgrade, we continued our product [up in this] [ph] in the first three months of this year. With a world premiere of the new A-Class, the first car of the second-generation of the Mercedes-Benz front view architecture. The presentation of the all new version of our most successful commercial vehicle, the Sprinter, which will be launched in the second-half of the year and we presented our renewed SUV icon, the G-Class, as well as an icon into making the Mercedes-AMG GT 4-Door Coupé. We took a further step further towards a future of electric mobility with Mercedes-Benz eActros. Our customers are currently testing the heavy-duty electric truck, its everyday usability and economic efficiency under real life conditions, of course. The locally emission-free, eActros, could go into serious production as soon as 2021. Over the BMW Group and Daimler announced the merger of the – their mobility services business units. By joining forces, we want to create a unique customer offering in this area. Let’s move to our financials. Group revenue increased by 3%. When adjusted for foreign exchange effects, it’s up by 8%. EBIT decreased to €3.3 billion, taking into consideration the negative foreign exchange effect and further investments in products and new technologies. Moreover, keep in mind, last year’s positive disclosed items in the total amount of €690 million in the first quarter of 2017. Net profit attributable to shareholders amounted to €2.3 billion equivalent to €2.12 per share. At €1.8 billion, the industrial free cash flow was in the magnitude of last year. So the net liquidity position of our industrial business reached €18.7 billion at the end of the first quarter. Please keep in mind that first quarter net liquidity does not reflect the dividend payout of €3.9 billion, which was actually paid in early April. To sum up the group’s results show the strengths of our core business as reflected by our products. And together with continued efficiency enhancements, we are able to offset the impact of investments into our business portfolio. And these are the key – these are key in this period of transformation that Daimler is now facing. Now let’s take a closer look at major developments in our individual divisions. Mercedes-Benz Cars posted a record quarter with more than 590,000 vehicles sold, which is an increase of 5%. March 2018 was a best-selling months in Daimler’s history so far. This strong sales momentum and stable pricing together with efficiency enhancements led to an EBIT of €2 billion and return on sales of 9%. We had a good start to the year despite high investments in new technologies and future products. In connection with possible risks from the remarketing of used cars, we recognized the burden in the magnitude of a low three-digit million amounts at Mercedes-Benz Cars in Q1 with a negative impact on operating profit. Daimler Trucks reported a strong first quarter with units sales increasing by 21%. And even more important, our level of incoming orders was strong and indicates further growth potential with a book-to-bill ratio at Daimler Trucks of 161% in all major regions achieving a positive ratio. Daimler Trucks EBIT of €647 million was slightly below last year’s number. Keeping in mind the €267 million impact from the sale of real estate at Mitsubishi Fuso Truck and Bus Corporation in Q1 2017. This result reflect our strong performance in the NAFTA region, as well as efficiency improvements resulting from our stream program. While strong markets increased our earnings, raw material expenses, and foreign exchange rates had negative effects. For Mercedes-Benz Vans, the last quarter was also a record quarter, which more than 93,000 units, we sold more Vans than ever before in the first quarter. This significant growth came mainly from the NAFTA region in China. The Van division posted a significantly lower EBIT of €172 million this quarter. The negative effect was mainly due to the impact from the Sprinter model change and could not be offset by the sales performance. Unit sales in Daimler Buses increased by 6% in the first quarter, driven by higher unit sales in Latin America. The division’s EBIT decreased to €37 million due to an unfavorable product mix and higher material costs. This was only partially offset by efficiency enhancements. At Daimler Financial Services, new business increased by 6% and contract volume reached €142 billion at the end of March, which is comparable to the level at the end of 2017. In the first quarter of 2018, the Daimler Financial Services division achieved earnings of €548 million with a return on equity of 17.9%. This positive development was mainly the result of increased contact volume. However, the higher level of interest rates and exchange rate FX had a negative impact on earnings. Let’s take a look at our expectations for the full-year 2018 and the remaining months. We expect to build the car market to grow by around 2% this year. At Mercedes-Benz Cars, we plan for a slight increase in unit sales, driven by our successful SUV models, the new A-Class, as well the E-Class family. Starting this summer, customers will find the upgraded version of our C-Class at the dealerships. In fact, all our four derivatives are entering the market at the same time. As every fifth Mercedes sold is a C-Class, the facelift should boost sales. Daimler Trucks anticipates a significant increase in unit sales based on a strong order book and strong demand in our key markets. The Mercedes-Benz Vans division expects significant sales growth, resulting from a very positive development in core markets in combination with attractive products, such as the X-Class and the new Sprinter. In a healthy market environment with a recovery of the Latin American region, Daimler Buses anticipates significant growth in unit sales. Daimler Financial Services anticipates further increase in contract volume for 2018, mainly due to the positive development of the new business in 2017, which should continue at the same high-level this year. Based on the positive sales assumptions, we expect the Daimler Group to post a slight increase in revenue for the year 2018. There are several updates to our EBIT guidance. Due to the changeover to IFRS 9 and 15, the EBIT guidance for both Mercedes-Benz Cars and Daimler Buses has changed to slightly above the prior year level. The announcement to merge the mobility services business of Daimler and the BMW Group leads to a guidance rise at the Daimler Financial Services division to a significantly higher level than in the previous year. Once the dealer is approved by the relevant authorities, this guidance is based on the assumption that the transaction can be closed this year. The guidance for Daimler Trucks and Mercedes-Benz Vans remains unchanged. This leads to an overall increase in our guidance for the Daimler Group to slightly above the prior year level. Based on the current FX environment, we updated our guidance for the foreign exchange effect and anticipate headwinds of around €1.3 billion compared to 2017. Key negative drivers are the Chinese renminbi, the Turkish lira, the British pound and the U.S. dollar. Raw material prices, especially steel and aluminum will result in an increased total headwind of €500 billion in 2018. Our focus is to safeguard our performance and achieve the targets we set in February. We have no reason to lean back or to get complacent. The automotive sector is in the process of transformation. The competitive landscape is changing with new entrants. Digitization has become an important part of daily life ahead of our business model, which also will become more and more digitized. The drive train is being electrified. In addition, we are facing increasing regulation in key markets. These are our challenges, but those changes also offer huge potential and great opportunities. We are in a position of strength to leverage this potential and implement broad-based initiatives and measures to execute our strategy. Therefore, we are building on all five Cs, core, case, culture, company and customer. They comprise a combination of business strategies and topics for the entire group. Especially, the divisional strategies are directed towards our current core business and case initiatives ensuring sustainable profitable growth. In regards to company, we are well on track with project future. We are working on the structure of the company to become more efficient and flexible in the fast-changing environment. If the Board of Management and the Supervisory Board ultimately decide in favor of project future, it will, of course, also need to be approved by the shareholders at the Annual Meeting. Daimler’s offer to investors is clear, a strong balance sheet together with a comprehensive strategy and prospectively a flexible structure. We are confident of achieving further profitable growth and creating value for our shareholders, while continuously investing into the future. We had a good start to the year and considering our product portfolio, continuous efficiency measures, a good order intake in the truck business, as well as future growth and contract volume in Financial Services, we look very positively towards the upcoming quarters. Daimler continue to be an interesting and attractive investment case with an attractive dividend policy. I now look forward to your questions. Thank you.
Björn Scheib: Thank you very much, Bodo. Ladies and gentlemen, you may ask your questions now. The operator will identify the questionnaire by name, but please also introduce yourself with your name and the name of the organization that you’re representing before asking your question. A few practical points. Please avoid using mobile phones, as well as hands free speaking systems. For sure understood, please ask your question in English and please try to speak loud and clear, so that everybody can understand your question properly. Last but not least, as always, I would kindly remind you, as a matter of fairness, please limit the amount of questions that you are about to raise to a maximum of two. This will give everybody on this call the opportunity to ask the relevant questions. Now before we start, the operator, once again, will explain the procedure.
Operator: [Operator Instructions] The first question is from Tim Rokossa of Deutsche Bank. Please ahead. Your line is now open.
Tim Rokossa: Yes, thank you very much. Hello, Bodo, it’s Tim. I have two questions please. The first one is on the diesel provisions. You’re the first German OEM that has specifically pointed to take material possession for this. Can you maybe explain what you have – on what you have observed there? Is the situation deteriorating in the last couple of weeks, or is this mainly you being more cautious and trying to take the step before it might be necessary just looking at the DAP numbers that we also see, for example> And secondly, on the confidence of your earnings development from Mercedes, you are now guiding for a slight increase in EBIT, because the IFRS changeover, but that is despite now higher than previously expected headwind from raw mats and FX of which the largest part is probably also Mercedes. Some people are therefore saying, your guidance may now be at risk. How should we think about this? Can we take it as a sign of confidence in your earnings development for the coming quarters some product roll out? Do you step up cost-cutting efforts, or is it both and how is the seasonality developing for this one? Thank you.
Bodo Uebber: Tim, thank you for your questions. With regard to your first question, of course, as we always say that the diesel leasing portfolio is on the watchlist. And therefore, we are actively watching the development and we are – we take a cautious look on the situation. We see the expectation of used car pricing somewhat deteriorating for the German market. So that is an anticipation, so to say, what can happen in the next couple of months and quarters and that led to a – led to the expenses of the lease book with a low three-digit number. So it is 100 million, which we impaired in our lease book. Of course, we are watching the situation further on. We haven’t seen so far anything in other European markets and stuff the – for the German lease book. The other question with regard to the guidance of this year, of course, you saw even in the first quarter and that should happen in the next quarters again. The strong sales momentum with a solid pricing, which we also also have seen in the first quarter even seen our product portfolio what you once in a while are discussing product life cycles and so on and so forth. So a solid pricing. And on top, of course, efficiency measures, which came in, in the first quarter and which will rule in the quarters to come to offset some of the headwinds we do have and also more headwinds compared to February, for example, in the raw material area.
Tim Rokossa: So basically, we should think about Q1 being the low point of your earnings development in Mercedes?
Bodo Uebber: Tim, as you know, that the guidance for the year, it’s a nice question. But we have a – the guidance for the year and first quarter is a first quarter. But, of course, we need to achieve, of course, in total more for the remaining nine months of the year.
Tim Rokossa: Thank you.
Bodo Uebber: Thank you.
Operator: The next question is from Patrick Hummel, UBS. Your line is now open.
Patrick Hummel: Yes, thanks. Good afternoon, Bodo and Björn. Two questions please. First one on trucks and second on mobility services. As far as trucks is concerned, you had a immense of increase in the order intake with a book-to-bill of 1.6 times, roughly speaking. How should we think about the operating leverage in that business in the coming quarters in light of your capacity? And you have taken out, obviously, some capacity on the downturn. We hear Volvo talking about the supply chain constraint. So I’m just wondering how that will feed through to the EBIT line what we will see in the top line in the next few quarters? And in that context, I assume, your answer is going to be pretty optimistic. Isn’t it time also to revisit wider context, the 8% margin target also in light of the upcoming separation of the Trucks business next year? And the second question relates to mobility services. You gave an updated guidance for the EBIT based on the book gains you expect from the merger with BMW’s businesses. What about the cash flow guidance? I assume, you get a cash payment for BMW, because their business is much smaller than yours. Can you give us an update on your cash flow guidance as well, please? Thank you.
Bodo Uebber: Patrick, thank you for your questions. With regard to your questions, with regard to Trucks, of course, we have also said that we have some constraints in the – in capacities, but for the time being we can manage them. So, of course, we have some challenges and then now we go into the second and third and fourth quarter, of course. And we need to balance these challenges, but we’re optimistic also to find solutions for it. The next – the sales momentum, of course, is based on the next upcoming quarters, is based on our strong order backlog. So in general terms, we will see a second-half stronger than the first-half in sales. So that should gives us also some earnings momentum for the year. And I do think, we are heading into a – as we guide for a significant increase in guidance – in our EBIT guidance for the total year, that should reflect our ongoing EBIT development for the next nine months. Of course, we have also to consider some headwinds as we have already addressed in raw materials. And you have seen also in the first quarter, not the currency impact was as pure a translational impact mainly from the U.S. dollar and the Japanese yen. But as you also said, we are optimistic about the development. The markets are pretty, okay. NAFTA maybe at the forefront of developing very well. But also other markets are increasing like Brazil, Indonesia, for example, but of course, in Brazil, as you know, from a lower level. The 8% quite clear, so the target is to make it on a sustainable way. When of course, we will see the Truck division and much endowment Yukon goods will certainly go for more if they can, but there’s no commitment today for the 8% in our guidance. So they do what they can to make it sustainable and that we have once in a while a breakthrough to this benchmark level, if I might say so. Mobility services, of course, we have said, we will have a significant impact on EBIT this year. Of course, that is not the cash impact as we know, that is by putting things together in a joint venture. Cash flow guidance with regard to mobility services would not be impacted, because it’s not industry. So that our industry guidance will not be impacted for mobility services other than this. Of course, in mobility services, as you know, we go for further strengthening our market position that contains organic growth on the one hand, that contains also to look for further investments we can take to strengthen our position and so on and so forth. And that we also are not yet in China, for example, there is something we need to work on together with BMW how do we get to enter into China, for example. Nothing more to say. If you ask me – if you directly ask me because of the cash flow guidance, we stay with our cash flow guidance, of course, with more than the dividend payment. I’ve mentioned the €3.9 billion in my introduction. So I’m pretty optimistic that we are further ongoing to the operating performance that we can overachieve that, that number. Although we are investing, as you know, more compared to 2017.
Patrick Hummel: Okay. But any cash consideration by BMW would stay within Financial Services, that’s what you’re saying?
Bodo Uebber: Yes, of course, as Financial Services. The Financial Services – mobility services is regarded there as a business, of course. Yes, it’s true. But on the other hand, of course, we will always most probably inform you if there is something with a higher volume as an acquisition, for example, you will get of course also an information if that would happen, but I do think it’s by far too early to say, first of all we are concentrating on the process of getting the approval from the authorities that is the next major milestone, then we will put the things together and then we will look forward of course to strengthen our market position into a significant player worldwide.
Patrick Hummel: Thank you.
Bodo Uebber: Thank you, Patrick.
Operator: The following question is from Stephen Reitman. Your line is now open, please go ahead.
Stephen Reitman: Yes, thank you, Stephen Reitman with Societe Generale London, good afternoon. We are going into the fourth generation now of the compacts cars with the A-Class. I think each generation you said they have been improving in terms of the margin profitability contribution they make, with – well, how would you describe your expectations for this next generation, are we getting closer to the Group average you think for Mercedes-Benz?
Bodo Uebber: Of course Stephen, thank you for your question. Of course the goal is and the target is and in the current environment we have to have that we have, if you like-for-like compare compact cars MFA1 product family with MFA2 product family, we will see an improving situation. I have to exclude of course the electrification of the product portfolio in my message, that is a separate, of course a separate discussion, but like-for-like we will see an improving and of course therefore we are getting closer to Group average at this point, but how close we are of course is a secret we, I do think to keep for ourselves.
Stephen Reitman: Thank you.
Bodo Uebber: Yes, thank you Stephen.
Operator: The next question is from Adam Hull of MainFirst. Your line is now open, please go ahead.
Adam Hull: Hi, thank you, good afternoon, Adam Hull from MainFirst. So two questions, firstly just wanted to dig a little bit deeper into the trucks, and you have very strong incremental margin against the underlying number, some of your competitors are saying actually a full year-on-year in the margin because of the mix of servicing and new truck orders for some degree, but could you just give us, is there anything familiar in that Q1 number, the 7.5 margin? Have you got yet the sort of full rate of a cost savings in Europe or is it really Europe that’s going to continue to grow and therefore this margin is almost at base level for the year? And then secondly on the Chinese JV, just a clarification, I think with €3 million, €4 million, €6 million, is that the reception of receiving the cash dividend for the second part of fiscal 2016? Have we yet got a number for fiscal 2017 and maybe you could just talk a little bit about the transition to the new A-Class, will it hurt you in the middle of the year or can you sort of absorb that and still have decent year-on-year growth in that Chinese JV? Thank you.
Bodo Uebber: Adam, thank you for your questions. First of all, to your questions related to trucks, first of all the truck, first quarter was a good quarter, also compared to our expectation for the total year. There’s nothing very specific in the number, the quality is, I would say, is good. We had also raw material effects which is included here with the higher number and now when we look into the development of the year in the next quarters to come, of course certainly we should see also the efficiencies rolling into the quarters. We have promised to you, to everybody the €1.4 billion program, which should be the run rate effective in the beginning of 2019. That is the commitment from trucks and we can see the numbers rolling in. From this perspective of course a good starting point for the next quarters. So again, I have commented already in a question before that we have sales momentum, well of course based on the strong order backlog, all of this together including raw materials headwinds of course currency we should see a good truck year for 2018. With regard to the question on A-Class in the Chinese JV, I do think you mean that the profitability of BBAC, when the – if this is your question…
Adam Hull: Yes, yes, indeed yes, absolutely yes.
Bodo Uebber: Yes. Okay, so we see – as you have seen in I’ve disclosed that the JV has a pretty high relative return, so we are very happy with the performance, no doubt of the Chinese JV, but we are also happy with the performance of the business which is out of the JV for China so that is also doing well. And we are also delivering components and other stuff to China, so that is not everything what is good in China. We might – the question now, we give no guidance for the BBAC profitability, it will stay high, but of course as we are launching the A-Class for example, they receive some maybe profitability effects in some quarters in the JV. That will not have any impact on, if that was your question on the dividend payment of BBAC, that will roll in as planned, as we have planned for this year.
Adam Hull: Has the fiscal 2017 dividend been declared yet, because I guess that €3 million, €4 million, €6 million is the fiscal 2016 really.
Bodo Uebber: So we plan for same dividend standing in 2018 as we have had in 2017.
Adam Hull: And will we get all of that in fiscal 2017? It’s fiscal 2018, sorry, we will receive it all in this year.
Bodo Uebber: We will get that in 2018 the dividends pending, so that was my direction, so the cash impact in 2018 is on the same levels as in 2017 from a dividend point of view.
Adam Hull: Great, thank you.
Bodo Uebber: Okay.
Operator: The following question is from Jose Asumendi of JPMorgan. Your line is now open, please go ahead.
Jose Asumendi: Asumendi Jose, JPMorgan. Hi Bodo and Björn. Just I want to clarify one thing, the €1.3 billion headwind does that includes raw materials headwind as well that will be the first item. Second on trucks, are there any bottlenecks you are seeing across any of the regions? You’ve got phenomenal order book obviously, are you seeing any special bottlenecks we should be aware of? And if you could just remind us are there any one-offs you want to take in the – over the coming quarter, just to reduce the fixed cost base on trucks or your are set to benefit from a phenomenal order book and I think higher utilization rate? This would be the two questions please, thank you.
Bodo Uebber: Jose, thank you for your questions. Your first question, unfortunately not, so the €1.3 billion headwind in currency is a one number and the €500 million is the number on raw materials, of course all for the group, that is differentiated between cargo and truck, please contact Björn for the differentiation. So in trucks, I already mentioned that we have had some constraints in components, in the truck business due to the fact that we have this higher order backlog and that we are ramping up production, but on the other hand I think from today’s perspective we will manage it, so that we finally can make our market share in the upcoming quarters in trucks as you know we are pretty optimistic that we are on good levels in the upcoming quarters. I do think that’s it, Jose.
Jose Asumendi: Fine, thank you very much. I appreciate it, thank you.
Operator: The next question is from Daniel Schwarz, Credit Suisse. Your line is now open, please go ahead.
Daniel Schwarz: Yes, thank you, hello. My first question is on the dividend policy that you mentioned. Is the 40% payout ratio, is that also dependent on the free cash flow i.e. if the cash conversion rate would fall to below 40%, would you be willing to payout the dividend from the net cash position? And the other question is a follow-up question on the write-down of diesel cost. Obviously that’s a very small part of your overall portfolio. What’s the feedback you get from dealers in Germany or the U.K.? Are they suffering significantly from that, of course their relative exposure must be much higher than that?
Bodo Uebber: Daniel, thank you for your questions. I don’t want to get into hypothetical discussions about the dividend, the dividend policy or the – with regard to cash flow. First of all the good news we have, the guidance is north of €4 billion we said. Our guidance in EBIT is on the Group level slightly above last year. So from that perspective of course there’s no question about the dividend right now and you know our policy and you know our target of sustainability is dividends. So that should give you a clear direction of what we’re aiming for at the end. With regard to your – the questions of dealers, we don’t think that has a material effect on the – any significant effect on the dealer – on the dealers in Germany or UK. Germany, you say is a small part of our portfolio, I would say, it is in leading, of course. It is a one of the biggest market, so to say. And other than this, I can only state that, we are doing our – on our watchlist, of course, is our all European markets and we’re looking at every single market. UK is one market, of course, where we would have a leasing portfolio. The other markets are not such affected by leasing. But we have no indication about similar issues than in Germany. And therefore, we did no – adjust no impairment on the lease book. Dealers in total enjoy an overall good profitability also in Europe that just I do think also the final message.
Patrick Hummel: Okay. Thank you.
Bodo Uebber: Patrick, thank you.
Operator: The next question is from Christian Ludwig, Bankhaus Lampe. Your line is now open. Please go ahead. Sorry, next question is Horst Schneider, HSBC. Your line is now open. Please go ahead.
Horst Schneider: Yes, thank you. Good afternoon. It’s Horst from HSBC. Two questions, please. First one is on trucks, again. We heard yesterday MAN saying that they’re increasing competitive pressure, I think, that I’ve heard mainly to Europe. And another one is also that, we see this emerging market foreign exchange volatility. So therefore, you also need to raise prices in some emerging markets also on trucks. I just want to know if you see any negative impact either in Europe from increasing competitive pressure or from the increase of prices in some emerging markets? That’s number one. The number two that I have is, on foreign exchanges, maybe you can provide some more detail to what is now behind this, yes, increased burden on – from foreign exchanges. So it relates to which currencies it affects more Mercedes-Benz or trucks? So which currencies we have to watch if you want to assess it in more detail in the future?
Bodo Uebber: Horst, thank you for your questions. The first is with regard to Europe, I – we don’t see any change in behavior and competitive pressure as we have seen last year. So we don’t see a change. It is competitive, yes, but there’s no change against the last year. The second one is foreign exchange. Specifically, of course, then maybe you contact Björn afterwards, again. There’s – maybe is one topic and another one might be another currency, but please contact Björn, he might give you some more details of which currency is – what’s the difference.
Horst Schneider: Okay. Emerging market truck prices?
Bodo Uebber: Yes. Emerging markets truck pricing is nothing specific. I would say, we, of course, what we try to do in some markets, of course, to, yes, to earn a bit more, so to say. So inflationary pressures to put on pricing and even do a bit more if we can. As you know, we have for a long period of time, for example, in Brazil, we have had a very difficult market. The market is also low, but it is increasing. So we tried to do our best on the pricing side. Other than this, there is no specific issue right now in emerging markets, which I can highlight..
Horst Schneider: Okay. All right. Thank you.
Bodo Uebber: Thank you. Bye-bye.
Operator: Okay. The next question is now from Christian Ludwig of Bankhaus Lampe. Your line is now open. You may go ahead.
Christian Ludwig: Thank you. Good afternoon. Christian Ludwig from Bankhaus Lampe. Another question on the FX headwind. Could you give us a guidance, how this is going to dispute over the coming quarters? We only had a €100 million impact in Q1, just an indication how that splits over the next couple of quarters, will be great? And second question on the U.S. truck market, I mean, the numbers look great. This is going to be a stellar year. But basically, do we have to assume that next year will be significantly weaker, is that basically the peak of the cycle this year, what are your expectations there?
Bodo Uebber: Christian, thank you for your question. Of course, we don’t give quarterly guidance. Therefore, we give a year – by guidance based on the year. We said €1.3 billion. The remaining number divided by three gives you an indication. The other one is, of course, a translational effect from trucks depends on the sales development. That gives you another hint that the more we – the higher the sales in the U.S., the higher the translational effect, for example, is. Your second question, the truck market. So the truck market, of course, as of today, is very good. Of course, we can’t complain in order intakes development in the last couple of quarters, of course, and our faced expectation for the remainder of the year is based on the good economic development in the United States, which we think is a pretty robust right now. We have the tax reform on the other hand, which we need to consider. We have freight rates and development, which is doing well. So the whole situation is good. We don’t give guidance for 2019. I do think it makes also no sense, because we are too far away from the auto cycle right now. But on the other hand, we also – we do not expect a huge volatility, so to say, in the market, that is our perspective. So any a whole scenario others do have – we don’t have, but it’s a bit too early to give a concrete direction on the market development in 2019. Thank you.
Christian Ludwig: Okay. Thank you.
Operator: The next question is from Philippe Houchois, Jefferies. Please go ahead. Your line is now open.
Philippe Houchois: Yes, good afternoon. This is Philippe Houchois, Jefferies. A lot of questions on trucks and as well some of them may have been asked already. I was just curious though, if I look at your situation, as well as the market in general, the order intake and the backlog is running well above the industry’s capacity to produce vehicles. I’m just wondering, any indication you might have potentially that it might be some elements of double ordering on some of those trucks. I know it’s difficult to evaluate. But most importantly, the industry has to kind of manage this backlog to make sure it lasts for a while, that would suggest that pricing should have a significant benefit in the course of 2018. And I’m just wondering if you can comment on the pricing situation specific to North America? And finally, briefly, just to be clear, the FX we see on trucks, is a translation issue there is very, very transaction risk on the truck side, if you could confirm, that would be great? Thanks.
Bodo Uebber: Of course, Philippe, with regard to your first question, we don’t have any cancellation right now, which I can tell you about.
Philippe Houchois: Yes.
Bodo Uebber: So on the other hand, you are something, which I can’t answer. So if you double ordering, how should I know where I’m not allowed to know what their order intake is specifically. So if you have some information, I don’t test. But again, we have a good situation if we do not have cancellations was also a indication that we have a good order book. And, of course, on the other hand you know, for specifically NAFTA, we know some of our bigger customers. We know about our fleet orders and so on and so forth. And I can’t assume that fleet orders are on this magnitude a double ordering. But therefore, I think that the majority of what we see is all good.
Philippe Houchois: Yes.
Bodo Uebber: Pricing in the North American market is good. It’s – let’s say, two things are good. One, it is good at positive. On the second, we do know, we have a new truck. We have the new Cascadia, and that, of course, helps us also in terms of, I would say, optimizing the sales contribution with regard to our company, if I may say, so without being more specific this week. There is a little transaction risk on the truck. So you mean, with regard to two currencies. Of course, we translate the U.S. balance sheet and revenues into euro, of course, that is the main effect of our currency effect we do have on top. We have that in Fuso with a Japanese yen, these are the two bigger effects you see in the currency walk of Daimler Trucks.
Philippe Houchois: Okay. Thank you very much.
Bodo Uebber: Okay. Thank you.
Philippe Houchois: Thanks.
Bodo Uebber: Bye-bye. As there are no remaining questions, I’ll turn the call over to Björn Scheib.
Björn Scheib: So ladies and gentlemen, thank you very much for your questions and being with us today. Also, thank you very much to Bodo for answering all of your question. Now Investor Relations, as always remains at your disposal to answer any further questions that you may have. Furthermore, I would love to draw your attention to our Truck Capital Markets Day in Portland on June 6. Here Martin Daum and the management team will outline our strategies, financial results, and at the same time the outlook. Those of you who will attend in person will also have the opportunity to join a couple of break-out sessions and to learn more about the latest developments in respect of connectivity, automated driving, and last but not least, truck electrification. So it’s definitely worth for the trip. And if you haven’t registered yet, please reach out to our team and we will close the registration for this event very soon. Now to all of you listening in from the Internet and on the phone, have a great afternoon, a good morning, or late evening, and we look forward to see you soon. Bye-bye.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect.